Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Noble Corporation's Third Quarter 2012 Earnings Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, Thursday, October 18, 2012. Thank you. I would now like to introduce Mr. Jeff Chastain, Vice President of Investor Relations. Mr. Chastain, you may begin your conference.
Jeffrey L. Chastain: Okay. Thank you, Regina, and welcome, everyone, to Noble Corporation's Third Quarter of 2012 Earnings Call. We appreciate your interest in the company. A copy of Noble's earnings report issued last evening, along with the supporting statements and schedules, can be found on the Noble website. That's noblecorp.com. Before I turn the call over to David Williams, I'd like to remind everyone that any statements we make about our plans, expectations, estimates, predictions or similar expressions for the future, including those concerning the drilling business, market outlook and industry fundamentals; financial performance, operating results, fleet condition, performance and downtime; also tax rates, spending guidance, backlog, dayrates, contract opportunities, tenders announcements, commitments and extensions, letters of intent; and finally, growth opportunities, newbuild delivery costs and dates, and plans and objectives of management for future operations, are all forward-looking statements and are subject to risks and uncertainties. Our filings with the U.S. Securities and Exchange Commission, which are posted on our website, discuss the risks and uncertainties in our business and industry and the various factors that could keep outcomes of any forward-looking statements from being realized. Our actual results could differ materially from these forward-looking statements. Also note that we may use non-GAAP financial measures in the call today. If we do, you will find the required supplemental disclosure for these measures, including the most directly comparable GAAP measure and an associated reconciliation on our website. With that, I'll now turn the call over to David Williams, Chairman, President and Chief Executive of Noble.
David W. Williams: All right. Thank you, Jeff. Good morning, and welcome to everyone. Joining me today in Geneva are James MacLennan, Senior Vice President and Chief Financial Officer; and Roger Hunt, our Senior Vice President of Marketing and Contracts. Jeff, today, is handling his portion of the call from Houston. Today, I'll provide some opening comments on the operational events during the third quarter that led to our reported results and review some highlights for the company and for the industry, especially as it pertains to the continued evidence of strong offshore market fundamentals. Following James' and Roger's detailed discussions on their respective areas, I'll close with some final thoughts before we begin to take your questions. Our third quarter results were disappointing. Following the first half of 2012 when out-of-service time in the fleet was generally at or below expectations, we experienced a number of events in the third quarter that negatively influenced results. Most significant were the events involving some rigs in the U.S. Gulf of Mexico and Brazil. As most of you know, we are involved in an aggressive capital program that, once completed, will dramatically transform the look and capabilities of the Noble fleet through the addition of 8 ultra-deepwater drillships and 6 high specification jackups by the end of the year 2014. The first of these 3 -- the first 3 of these drillships were delivered from shipyards over the second half of 2011 and placed in service in the first half of 2012. As is sometimes the case with new rigs, time may be required to get rigs in operations fully up to normal operational performance. This period may involve identifying and correcting issues that can relate to anything from software code adjustments to hardware modifications and/or repairs. This break-in period on the ultra-deepwater drillships Noble Globetrotter I and Noble Bully I was not as smooth in the third quarter as we would have preferred. However, matters involving the subsea control system on the Noble Globetrotter I and the thruster system on the Noble Bully I have been corrected and the rigs returned to their full operating dayrates, and we do expect improved performance going forward. In Brazil, quarterly revenues were negatively impacted by a number of labor actions within the operational and regulatory support infrastructure that caused 2 rigs to be delayed following the completion of ongoing shipyard projects. These rigs included the semisubmersible Noble Dave Beard, which was limited to a special standby rate following the completion of repairs, and the drillship Noble Leo Segerius, which received no revenue in the quarter even though the rig had completed final testing and commissioning and was accepted by the client, Petrobras, to return to work in August. As we noted previously, revenues from late August to the end of September on the Segerius are in dispute, and we believe our justification that at least a standby dayrate is warranted over this period of time and has solid contractual support. But whether or not we will win this argument with our customer remains to be seen, but we will continue to discuss this matter with Petrobras. Other matters in the quarter that contributed to lower revenues and higher-than-guided costs were related to required repairs and maintenance on some rigs, including the drillship Noble Duchess and the jackup Noble Scott Marks. These rigs both experienced operational issues relating primarily to BOP control systems. The Noble Max Smith and Noble Charles Copeland were both delayed at shipyards for various reasons prior to commencing their respective contracts. I view most of these matters as largely isolated and transitional in nature. As I mentioned, the repairs on the Globetrotter I are done and the rig is back on full dayrate as of September 20. The Dave Beard and Leo Segerius from Brazil are also on full dayrate. Furthermore, repairs of the Duchess and the Scott Marks are also complete and the Charles Copeland has commenced its contract in the Middle East. The Noble Bully I and the Noble Max Smith are expected to have a limited impact on the fourth quarter financials. The thruster seal replacement on the Bully I was not complete until mid-October, and the Max Smith mobilization to Brazil is not expected to commence until later this month, when the rig will be getting an interim dayrate of $170,000 per day. Now we did experience some highlights in the quarter and into early October that are worth noting. First, I'm very pleased to report that the outstanding capabilities of our JU3000N jackups under construction have once again been recognized with the award of a new contract for one of those rigs. The contract work will be conducted by the JU3000N rig of our choosing, and within a window of time noted by the client. Roger will provide a few more details on the award in his discussion on regional market share in just a minute. Also, we announced very early in the third quarter the 3-year contract on the ultra-deepwater drillship Noble Bob Douglas, leaving us with only 2 remaining newbuild drillships to contract, with mid and late 2014 expected delivery, respectively, from the Hyundai shipyard in Korea. Relating to our existing fleet, we continue to benefit from strong market fundamentals, wherein our jackup rig fleet, we were awarded contracts for 15 rigs from July through last week. These awards include jackups located throughout the fleet. In relation to our global operation, we have seen geographic expansion in recent weeks as it pertains to the floating rig fleet. Over the quarter, we mobilized the ultra-deepwater semisubmersible Noble Clyde Boudreaux from Brazil to the North West Shelf offshore Australia where the rig has commenced a multiyear program with Shell. Also with Shell, we commenced operations in the Beaufort and the Chukchi Seas in support of that customer's Arctic drilling program. Finally, we closed the third quarter with a revenue backlog of $14.8 billion, a number that's expected to see continued growth and provide greater visibility as we conclude ongoing discussions on other rigs in the fleet. I'll now turn the call over to James for more detail in the third quarter, along with some guidance for the remainder of 2012.
James A. MacLennan: Thank you, David, and good morning to everyone on the call. I'd like to provide some details regarding our third quarter revenues and operating costs, as well as address a couple of items related to the balance sheet. I'll then close with some updated guidance for the fourth quarter and for the full year of 2012. Also, in keeping with Noble's past practice, I plan to provide initial comments relating to 2013 financial guidance during our fourth quarter call. This will be held on January 24, 2013. We've made significant progress in putting together our 2013 operating budget, but we do require more time to get to a point where we'll feel comfortable providing you with an accurate forecast for the year. So thank you in advance for your patience on this. As you've seen from the earnings report issued last evening, along with the supporting statements and schedules, Noble reported third quarter net income of $115 million or $0.45 per diluted share on total revenues of $884 million. The results compare to net income in the second quarter 2012 of $160 million or $0.63 per diluted share on total revenues of $899 million. Contract drilling services revenues decreased $15 million or just under 2% in the third quarter to $833 million, compared to revenues of $848 million in the second quarter. As we reported on September 5, and as David has already noted, several unanticipated operational issues in the third quarter drove the lower-than-expected revenue results which led us to provide the recent early update on expected revenue impact. Although we experienced a 273-day increase in operating days, downtime on several rigs in our Brazil, U.S. Gulf and Middle East regions contributed to the $15-million quarter-on-quarter revenue reduction. In the third quarter, unpaid operational downtime was 4.1%, up from 2.5% in the second quarter. In addition, lower mobilization and demobilization revenues due primarily to the second quarter payment on the Noble Homer Ferrington as a transition between clients, final amortization of mobilization revenue on the Paul Romano in the second quarter and reduced bonus incentive payments contributed to the third quarter revenue decline. Together, these factors resulted in a $29-million drop. Finally, dayrate changes in the fleet contributed to an estimated $11-million decline in revenues, primarily driven by the Ferrington, which commenced a new contract in the Eastern Mediterranean at a lower dayrate, and the Noble Roger Eason, which began a 270-day rig enhancement program, suspending its full dayrate until the project is completed in 2013. These changes were all partially offset by revenues from the ultra-deepwater drillship Noble Globetrotter I, which commenced operations on July 15, contributing $22 million to the quarter's revenue. Our contract drilling services costs for the third quarter were $449 million compared to $424 million in the second quarter. Costs exceeded the midpoint of our guidance range of $430 million to $440 million by about $14 million due primarily to higher repair and maintenance expenses of about $10 million attributable to those downtime events reported in our press release of September 4, as well as higher regulatory and customs-related costs in Brazil of approximately $5 million and unanticipated expenses associated with Hurricane Isaac, a little less than $2 million. DD&A for the third quarter was $195 million, slightly below our guidance of $200 million to $210 million due primarily to the delayed start of operations on the Noble Leo Segerius. SG&A expenses of $27 million were in line with guidance provided on our last call. Our tax rate for the quarter was 16.3%, slightly below the range of guidance of 17% to 20%, primarily due to certain discrete benefits partially offset by the effect of lower pretax income on our tax provision. Capital spending in the first 9 months of 2012 was $1.2 billion, of which $441 million related to our newbuild rig construction commitment. And capitalized interest for the 9 months was $108 million, and totaled $31 million in the third quarter. Taking a look at the balance sheet. Cash and cash equivalents at September 30 totaled $218 million with liquidity, measured as the sum of cash and availability under our revolving credit facilities, totaling $1.7 billion. Accounts receivable at September 30 of $791 million grew by $98 million from the June quarter, primarily due to a rise in our Middle East region receivables. The increase related in part to mobilization revenues for the Noble Charles Copeland, which commenced a 3-year contract with Saudi Aramco in September, and payments relating to 2 clients in the same region. We expect these amounts to be collected by year-end and in fact, a significant portion, almost 1/3, was received just yesterday. Finally, total debt at September 30 was $4.6 billion compared to $4.4 billion at June 30. The increase consists of draws on our revolving credit facilities to meet progress payments associated with our rig addition program. At the end of the third quarter, debt-to-total capitalization was 36%. Turning now to guidance for the fourth quarter and also for the full year 2012 for certain line items in the P&L, as well as capital expenditures. Firstly, we continue to expect unpaid downtime in the Noble fleet for 2012 to run at an average level of plus-or-minus 3.5%. Note that unpaid downtime in the third quarter was 4.1%, up from 2.5% in the second quarter. We expect our contract drilling services costs to be in the range of $1.73 billion to $1.75 billion for the full year of 2012 or within the range provided as guidance earlier in the year. For the fourth quarter, contract drilling services costs are expected to be in the range, $445 million to $455 million, generally flat with the third quarter. While the total costs are forecast to be at the same level as Q3, there are, in fact, certain discrete and non-recurring items in the fourth quarter which sum to about $9 million. The largest single example of this is the mobilization of the Muravlenko in the quarter, and I'll come back to this in a minute. Further, certain rigs came back on dayrate in the fourth quarter which had not been on rate at least by the end of the third quarter, which led to higher activity-related costs. DD&A for the full year is expected to be in the range, $755 million to $765 million, with our fourth quarter number expected to be in the range, $205 million to $215 million. SG&A is still expected to finish the year in the range, $95 million to $105 million. Interest expense, net of capitalized interest, will be between $85 million and $90 million, within the annual guidance that we provided on the last call. Net interest expense in the fourth quarter is expected to be $25 million to $30 million. The minority interest line on our P&L, which represents the Bully I and Bully II, 50-50 joint ventures with Shell, is expected to amount to $40 million to $45 million in 2012, or approximately $15 million in the fourth quarter. We continue to expect our tax rate for the full year to be in the range 17% to 20% and likely at the high end of that range. As you are aware, any changes in the geographic mix of sources of revenue, levels of profitability, tax assessments or settlements, or movements in exchange rates, all can affect this line. Finally, we now expect our capital expenditure for the year to be approximately $1.8 billion, down slightly from our previous expectation. The breakdown for the capital expenditures is expected to be the following: In our newbuild program, we spent $441 million through the third quarter and anticipate spending another estimated $150 million in the fourth quarter. Remaining CapEx for the newbuild program in 2013 and beyond should total approximately $2.7 billion. Major projects in 2012 are expected to total approximately $850 million. We spent $548 million in the first 9 months, of which $50 million was attributable to enhancements to our subsea spares inventories. By year-end 2012, expenditures related to the subsea program will likely exceed $160 million. Sustaining capital is expected to represent $250 million of the CapEx spend in 2012, while capitalized interest is anticipated to run $135 million to $140 million. Lastly on CapEx, the capital spending for the fourth quarter in total is expected to be about $550 million. Before I turn the call over to Roger, I want to update you on some fleet developments that will impact fourth quarter performance. Some of these issues were included in the October 4 fleet status report. The semisubmersible Noble Paul Romano has concluded its contract in the Eastern Mediterranean and is being mobilized to a shipyard for upgrades, the scope of which are still yet to be fully defined. Based on a possible upgrade and regulatory inspection program, together with a potential mobilization period, the rig could be idle into the second quarter of 2013. Also, thruster maintenance on the drillship Noble Bully I that resulted in 18 days of unpaid time in the third quarter carried into the first 11 days of the fourth quarter. The rig returned to full operating dayrate on October 12. In addition, the semisubmersible Noble Danny Adkins experienced 16 days of unpaid downtime in October for repairs. Two final items. The semisubmersible Noble Max Smith will not receive the special shipyard dayrate of $170,000 for most of October due to a delay in the rig's departure to Brazil. We currently expect the rig to depart the yard later this month, when the special dayrate will recommence. And the drillship Noble Muravlenko has completed its contract in Brazil and has been replaced by the drillship Noble Phoenix. The Muravlenko will be mobilized in the fourth quarter, as I mentioned earlier, to a location where it will be cold-stacked, the costs of which are included in our operating cost guidance for the quarter. That concludes my prepared comments. Roger will now cover the market outlook.
Roger B. Hunt: Thank you, James, and good morning, folks. Market sectors remain robust for both floating drilling rigs, especially ultra-deepwater-capable rigs and jackups. I would like to begin this morning with comments on the jackup sector. There was little doubt one of the more pleasant surprises for 2012 has been the strength of the standard jackup sector, and Noble's contract experience over the past 90-day-plus is evidence of this strength. Of 16 new contract awards, all but 2 were for standard jackups, including 3 in Mexico, 4 in West Africa, 5 in the North Sea and 2 in the Middle East. Most involved primary terms of 1 year or longer, extending 9 of the rigs into 2014 or beyond, including the recent award in the U.A.E. of 3-year contracts for the David Tinsley and Alan Hay at rates in the mid-90s commencing the first of this month. It has been several years since an operator in the Middle East, other than Aramco, has contracted long, and it suggests concern about rising rates. These awards represent a nice global balance and are indicative of the tight conditions in most regions. By way of note, they represent a backlog add of approximately $1.2 billion. Also, as David mentioned, we have been awarded a contract to drill 1 high-pressure, high-temperature well for a customer in the Arabian Gulf region with a spud date window of September 2013 to August 2014. The contract requires Noble to nominate, by the end of October 2012, which of our new JU3000 rigs will perform the work. The contract value totals $43.5 million, including mobilization, for what we estimate to be 150 operating days. We believe this award is a strong affirmation of the JU3000 configuration for demanding wells and we are pleased the rig will be strategically positioned to capture additional work in the region. Let's now switch the discussion to the ultra-deepwater sector and the continued strong fundamentals of intense customer interest in building visibility into the latter part of the decade. During our last call, we identified 168 months of official availability in 2013, and we speculated that the real or actual availability was much less. Taking into consideration the 11 announced awards over the quarter, we view official availability to be now 97 rig months, with real availability more like half that number. By our reckoning, only 4 ultra-deepwater units are available in the first half of 2013, for the sector has tightened further and as result of the further tightening, we have seen average contract durations for those rigs signed over the past 90 days increase to approximately 4 years compared to 2.25 years through the first 6 months of 2012. Average day rates have increased to 575,000 compared to 533,000 over the same period of time, which begs the often-asked question, have deepwater rates peaked in the current cycle? The answer is probably not. Remember, in early to mid-2011, 90% of ultra-deepwater contract signings were at dayrates under 500,000, with 30% of the signings under 450,000. Now, fast-forward to 2012, where we have seen 53% of awards through the first 9 months of the year at dayrates over 500,000, with over 30% between 550,000 and 600,000. Approximately 20% during this period were over 600,000. So why do we believe dayrates could march higher? Since March 2012, there has been little to no near-term ultra-deepwater rig availability in the sector, and we know the presence of near-term availability should demand a premium dayrate for prompt delivery of the rig to the customer. This condition reappears in the first half of 2013, when currently 4 rigs have free and clear availability, with 7 to 8 units available in the second half, but with only 19 rig months. These rigs have the potential to push spot ultra-deepwater dayrates higher depending on the length of term, the region and the technical specifications. It's also important to remember the sector is facing a very tight labor market along with the tightening supply in the equipment and spare parts sector, which would suggest that dayrates should be higher to reflect the higher operating costs. Finally, several leading indicators of ultra-deepwater activity continue to support higher future activity. Exploration successes remain strong, with 2012 already a record year for announced discoveries with 38 through September, which compares to 15 a year ago. This includes 17 in the third quarter. Discoveries were made in 12 different countries, supporting the premise that geographic expansion is driving more demand from operators. This expansion is due in part to greater offshore access, as evidenced by the increasing number of announced offshore licensing rounds occurring or planned around the world. At present, offshore rounds are planned or have recently closed along numerous countries in Asia-Pacific, South America, Central America, North America, Africa and some frontier areas offshore Greenland and Norway. In short, most continents can display an active licensing process. In summary, in an environment supported by stable crude prices at levels well ahead of customer targets that drive E&P spending, strong geology, expanding geographies, growing offshore access and building field development backlog, we remain confident that customer demand will build, producing stable to higher dayrates and term commitments. That concludes my prepared remarks, and I'll pass the call back to David for closing thoughts.
David W. Williams: Thanks, Roger. As we move towards 2013, Noble will experience an active year for newbuild deliveries from the shipyard. During the year, we expect to take delivery of 3 ultra-deepwater drillships, the Noble Globetrotter II, the Noble Don Taylor and the Noble Bob Douglas; along with 3 JU3000N jackups, the Noble Regina Allen, the Noble Mick O'Brien and the Noble Houston Colbert. These deliveries and the remaining 5 project deliveries to fall in 2014 will drive significant improvements in earnings and cash flow. The company is moving toward a position over the next couple of years where the very heavy newbuild project backlog that we've managed since 2010 will be largely complete, driving a different discussion as it pertains to capital allocation. A number of options can be considered, including further expansion of the fleet, dividends, debt reduction, share repurchases and any combination of these actions. We expect to further -- provide further clarity on this topic as we move our way toward completion of our current newbuild program. Our immediate capital allocation strategy involves continued support of the newbuild program as we move down the path to transform the fleet to a more premium level. By premium fleet, I refer to a fleet of floating rigs and jackups with few years in service, possessing leading-edge technology and addressing more demanding client needs. We expect the premium fleet to offer excellent visibility through large contract backlog, which should reduce cyclicality. Our efforts to date, including 21 projects since 2007 and totaling approximately $10 billion of capital invested -- or to be invested, does not fully get us where we believe we need to be. Additional newbuild projects are possible, although it's likely to involve fewer projects in the pipeline at any given time beyond 2014. Finally, the divestiture of lower specification assets remains an important step in the transformation of the fleet. This effort continues to be given high priority in the organization. The substantial improvement in the standard jackup business experienced in 2012 has not resulted in a reevaluation of this necessity -- of this step in our transformation. We continue to place importance on appropriate valuation for standard specification rigs and we plan to work hard to achieve this valuation. We hope to be in a position to offer more additional details regarding this strategic step in the near future, but right now, I'm going to turn the call back over to Jeff and we'll start taking your questions.
Jeffrey L. Chastain: Okay, David. Thank you. Regina, we're ready to begin the question-and-answer segment of the call. So if you'd go ahead and assemble the queue. [Operator Instructions] Regina?
Operator: [Operator Instructions] Your first question will come from the line of Collin Gerry with Raymond James.
Collin Gerry - Raymond James & Associates, Inc., Research Division: I want to go into, I guess, what seems to be very topical to the conversation in the market regarding your space, and that is the opportunity to -- in the MLP space. Is that something that you think is legitimate for the ultra drilling community? And how serious does Noble take the potential to maybe put -- I mean, I know you have some rigs with some exceptionally long-term contracts there. Is that something under review?
David W. Williams: It's interesting what sea drills do and we're watching it. We certainly have paid attention. We've looked at MLP structures going back several years. We'll continue to watch. It's interesting to see what they're doing. It's clearly new to this space. Collin, whether or not it works for us or not, I don't know. I think it's a little early to say. But it's certainly an interesting financial engineering exercise, and I'm glad you brought the question up. We will certainly be watching that as it develops and give it due consideration.
Collin Gerry - Raymond James & Associates, Inc., Research Division: Right. I guess the opportunity there would be on the multiple side and creating a little bit more dry powder maybe to go after high-grading the fleet. I guess the question, to me, remains unknown is whether that structure would accept older rigs. Or is it unique to just newer rigs? I don't know if you have maybe an opinion on that.
David W. Williams: Well, I mean, I don't want to make this an MLP discussion. I think the older rigs don't have the term, so you're talking about a variable-rate MLP, which I think is a little bit different scenario. But beyond that, it's 2 different models: the long-term structure with the 10-year contracts versus the short-term. Beyond that, we're really not ready to comment on whether or not it fits us or not.
Collin Gerry - Raymond James & Associates, Inc., Research Division: All right. Moving to a little bit of a different topic. Obviously, there were some issues in the quarter, some -- and you went into the transitory nature of some of that. I guess, with respect to that, I'm curious, a lot of eyes on the performance of the Huisman design and the Globetrotter and the Bullys. Since kind of quarter end, maybe just give us an operational update on the performance of those rigs.
David W. Williams: That's a great question and I appreciate you asking. The Huisman kit's doing fine. Our issues on the rigs have not been the Huisman kit. We had some thruster seal failures on the Bully. You might recall, before we moved those rigs out of Singapore, we changed the thruster seals out before, had an installation problem, we thought, with the manufacturer and we moved the rigs over here -- moved the Bully I here, and it manifested some leaks in the thruster housings that we had to change them out. The Globetrotter issue was a subsea control issue. So the Huisman stuff's doing fine. We haven't had any big issues there and nothing that we haven't been able to respond to. They're software stuff. Nothing out of the ordinary. Nothing that tells us that, that equipment is not fit for purpose, and I think the more we learn about it, the better we like it. But the issues we've had on those rigs has not been the Huisman kit. The Huisman kit's doing great.
Operator: Your next question will come from the line of Dave Wilson with Howard Weil.
David Wilson - Howard Weil Incorporated, Research Division: David, in the past, I've asked the question about dayrates, whether you thought -- if they could remain flat. And at the time, you told me they're either moving up or they're going to move down. And based on some of Roger's commentary, it sounds like you guys think they could still move higher from here. But I guess my question is, if these near-term rigs don't get contracted, does that mean the rates automatically start to move down? Or is there any possibility that they could still move higher or stay flat?
David W. Williams: Well, I think Roger was pretty clear. With the near-term spot availability being as short as it is -- in any given market, even when it's effectively 100% utilized, you've got some slack in the market with rigs between contracts and commitments. The Romano's a good example of that. We've got multiple opportunities for the rig that Roger can comment on if he wants to, but we don't have a commitment yet we're ready to announce. We don't expect that there is an issue in the market. Quite the contrary. With the number and quality of conversations we have going on about not only the Romano, but the remaining newbuilds and other rigs that we don't have in the fleet, frankly, are fantastic. So yes, you're right. I am one of these guys that believe markets are never flat; they're either headed up or down. And I think by virtue of the number and the quality of the announcements that we made this quarter, I would argue it's still headed up.
David Wilson - Howard Weil Incorporated, Research Division: Okay. Great. And then one more. You guys have a fairly large presence in Brazil and recently it seems, not only for you guys but the industry altogether, is having a more difficult time doing business down there. It seemed like a couple of years ago, everybody was touting their Brazil exposure, but now, it seems to move the other way, kind of further down in the preferences. With your new subsea facility and tracking system, have you noticed a higher number of down days in Brazil due to subsea equipment? Or is it just a matter of all the other bureaucratic and contracting terms making it seem more costly and difficult to do business down there?
David W. Williams: Dave, Brazil has been a huge source of frustration for us over the last year or so, but more so in the third quarter. We had 3 rigs in shipyards trying to get ready to go back to work. We had 2 shipyard strikes. We've had customs on strike at different times. I think they're still on strike Mondays and Fridays. And that strike is spreading to other ports. We've had ANP on strike, the regulatory body that approves rigs moving back and forth within regimes. So that when I talked about the rigs that finished shipyard jobs and couldn't go back to work, the Segerius was finished, tested, road-tested, accepted by the customer and we could not get regulatory approval to move the rig back out the shipyard and go back to work. With what's going on down there, with the -- with what's happened with Chevron and Transocean, it looks like that has been at least remediated in the short term, but I think you're right. Brazil is becoming a very complex and a very difficult place to work. I think it's going to continue to be there and I think -- I mean, it's going to continue to be difficult. Happily, we're down to 1 rig and a shipyard. Right now, we've got the Roger Eason in there and then we'll be -- hopefully be out of the shipyard business for a while. We do have projects coming up as we have to maintain the rigs there, but our major projects will be behind us. So Brazil is becoming a horrible place to work. It's -- we don't see more subsea downtime or downtime issues in Brazil than any other places. We see more rapid cost inflation and we see a lot of regulatory and labor issues.
Operator: Your next question comes from the line of Justin Sander with RBC Capital Markets.
Justin Sander - RBC Capital Markets, LLC, Research Division: Just wanted to go back to the cost outlook for a minute. I think, previously, we'd been talking about a guidance range for drilling costs and then looking for a $5-million-or-so increase per quarter as newbuilds come on. Can you kind of refresh us on what the outlook for that would be going forward and then maybe comment on whether or not we're seeing any cost inflation within that number?
James A. MacLennan: Justin, yes. As far as going forward, as I mentioned at the beginning of my prepared comments, we will provide guidance for 2013 in our January call. But as a general -- as a more general response to your question, the $5-million quarter-on-quarter successive growth in costs that we provided in our guidance for this year all through the year, has not specifically related to new rigs coming online. In fact, it's related to increases in R&M [ph] as you go through the year and get closer to the close-out of budget period. As a general comment looking forward, I would say that the fourth quarter of 2012 has at least $10 million to $12 million of non-recurring items in it, which in and of itself would have an impact on the first quarter of '13 and going forward.
Justin Sander - RBC Capital Markets, LLC, Research Division: Got it. Okay. And then just a point of clarification as well on the Romano. I just want to make sure first that I heard correctly that it may be down for all of the first quarter of '13. And then more broadly speaking, I would just like to get your thoughts on why mobilizing out of the Mediterranean region, kind of some of the factors that drove that decision and some of the opportunities that, that rig is looking for outside of that market.
David W. Williams: Well, I'll comment on the downtime and I'll let Roger talk about the opportunities. The rig has it -- we've got some shipyard work to do to the rig. We took it out of the Gulf 10 years ago, I guess, and it's been in the Mediterranean ever since then. So we've got some structural work to do. We've got some quarters work to do. We've got some, I think some winch work to do and some other things that it's just time to do on the rig. And we'll probably have the BOPs disassembled and recertified as well, so there's a good bit of work to do on the rigs. So we're going to take this opportunity and do it. We'll do that. We're in the Med in Malta, is where we're currently planning to do it. And that is in anticipation of where we may go next. And I'll let Roger talk about the opportunities we might have for the rig.
Roger B. Hunt: Yes. Justin, I would not conclude that the rig is leaving the Mediterranean. Mediterranean, long term, we like the fundamentals there. Short term, everybody's aware that there's political challenges in some of the active or potentially active areas. So we're looking at some prospects, a couple in the Med, but also looking at a lot of prospects up and down the coast of Africa. So I think between those 2 areas, there's good opportunities to reemploy the rig.
Operator: Your next question will come from the line of Ian Macpherson with Simmons.
Ian Macpherson - Simmons & Company International, Research Division: David, I wonder if you could share your thoughts on the Transocean shelf drilling transaction, how it impacts your thinking or your options, if it does at all, for your jackups. And specifically, your thoughts and evaluation. And then also your thoughts on the notion of putting a new competitor in business and how you might be able to avoid doing that with the disposal of your jackups in the future.
David W. Williams: Ian, thanks for the question. From a valuation perspective, I would argue that the rigs -- and I haven't seen them, but the rigs that Transocean is trying to deal with are different than the rigs we're trying to work -- we're trying to deal with. Most of our rigs, really all of our jackups with the exception of the Don Walker in West Africa, really have jobs, or are headed the jobs or have been working and are ready to go to work. They're in good shape. They've been maintained. There is a good bit of backlog in the jackup fleet. And so, just the quality of those assets and the condition of the contracting stratus -- status, I think, leads to a different valuation. And so the Transocean transaction does not change our view of the value that we think shareholders deserve for those rigs. I think the challenge -- clearly, the challenge for them and frankly, the challenge for us, the challenge for anybody right now, is access to capital to go do a purchase transaction on a deal like that. So I think that -- whether or not that drove their decision of who was there and what they were willing to do, I don't know. Our valuation expectation really hasn't changed. In terms of creating another competitor, I hesitate, I shudder to count the number of drilling contractors that are -- that count themselves in business today versus what it was 10 years ago. It's probably more now than it was then. This business attracts capital and attracts competitors. I would argue that the rigs that Transocean has or is in the process of trying to deal with, and the rigs that we would be trying to deal with, we would probably view as rigs that we would not be directly competing with on any large-scale in any given market for very long. So creating additional competitors, it's not the best of all worlds. But being able to realize an appropriate value for the shareholders' assets is a big thing to us, and we intend to figure out a way to do that. So we're still watching; we're still working it. It's still, we think, an important piece of the strategy going forward. We've invested a lot in the fleet. But we think that the divestiture is an important part of strategy and we'll continue to work that side of it.
Ian Macpherson - Simmons & Company International, Research Division: That's great. Separate, unrelated follow-up. There seems to be, I think, more uncertainty in the market today regarding the long-term ultimate demand requirements for rigs in Brazil, for floaters. I think more uncertainty as to how much of their newbuilds might eventually be replacement capacity as opposed to incremental growth, and it's so far out you can't measure this with precision. But have you heard a different rhetoric from Petrobras recently in that regard? Or do you still think that the incremental rig requirements over the next few years are going to be up rather than down?
David W. Williams: Well, I don't think there's any question about the rig requirements with Petrobras. I think they have been very clear about a huge ramp-up in rig need. I think the lack of clarity really is in the market's acceptance of their stated plan and whether or not they can actually execute that plan in a timely fashion to be able to meet their drilling and production requirements. So the question I had in my mind is, with the challenges we've got just with upgrades and refurbishments in Brazil, the thought of building a rig from the keel up in Brazil, I don't even want to think about it. So the question in my mind is something's got to give. Either they're going to build the rigs in Brazil or they're going to try to meet their development -- their drilling and development targets. But those 2 sides of that equation are mutually exclusive, in my opinion. So the question is not, do they need the rigs? The question is, how do they access the rig? And I'll let Roger respond to anything -- if we've heard any kind of different rhetoric from Petrobras.
Roger B. Hunt: Ian, I'd add the comment that this discussion about Brazil, I think the current uncertainty through the restructuring and reorganization that's going on within Petrobras and the kind of downgrading of the longer-term production goals, should be viewed as a positive development. We talked about the difficulties and the higher cost of doing business down there. I think Petrobras is going to have to use this as a learning period because they are going to have, I think, have difficulty competing against their peers for ultra-deepwater capability if they don't start realizing that their contracts on a relative basis are much poorer than others. A positive has got to be the 2 bid rounds that will take place on concessions next year. So that's more a IOC issue, but would be viewed as a positive.
Operator: Your next question will come from the line of Robert MacKenzie with FBR.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: My first question, I guess, is on the Bouzigard. Have you had any discussions about potentially upgrading or reactivating that?
Roger B. Hunt: Yes. It's a high-demand market so we're using that opportunity to look at opportunities for Bouzigard, so the answer is yes.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: Care to handicap that at all for us?
Roger B. Hunt: Not at all. No.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: Next, there's a number of high-spec jackups being marketed for next year. How would you characterize that market? Is it tightening? Is it firm? And what do you think that means for the rig potential for your newbuilds coming up?
Roger B. Hunt: We're absolutely excited about the potential for -- and I differentiate our high-spec jackups with most of them under construction. The program we just announced, if you look at the arithmetic, it represents a customer with 1 well in the Middle East playing an effective rate of somewhere around $290,000 a day to get a jackup. And that's -- our jackup was successful competing against jackups in the region. So depending on what you allocate for mobilization and de-mob, but if you use $8 million then the effective average dayrate should be around the $230,000 range. That's a similar rate to what we got in the North Sea. We're having active discussions on our jackups -- and another point, and it's a big issue. One of beautiful aspects of this job is that we have the right to put one of the next second, third or fourth jackups against that job. So we actually have a 1-year window and that matches 3 of our deliveries. So it gives us the flexibility to pursue longer-term projects and kind of change up the delivery dates. Very interested in what's going on in the North Sea, a lot of inquiries out for the heavy-spec jackups. I think Saudi Aramco is probably understating their long-term needs so we have absolutely no concern about the high-spec jackups, to the contrary.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: Okay. And how would you characterize demand for those outside of, say, North Sea and Saudi Aramco? Is there incremental demand in the Far East, as we have seen from time to time, or elsewhere for those?
Roger B. Hunt: Well, if you're speaking about the high-spec jackups, yes, there's other projects. Places like Australia, New Zealand, a few opportunities out in Southeast Asia. But the primary focus is going to be on the areas we spoke to.
Operator: Your next question comes from the line of Robin Shoemaker with Citi.
Robin E. Shoemaker - Citigroup Inc, Research Division: I just wanted to ask, David, in terms of these operational issues that have affected your third quarter, you've got the Bully, the Globetrotter and then now the HHI rig design, and the break-in problems are part of the business. But is the equipment that you've identified, the thrusters and the BOP systems, similar on all -- across all categories of rigs and so that lessons learned now would reduce break-in problems in the future?
David W. Williams: Robin, that's a great question. Some of the equipment is the same. Some of the equipment is the same as we had on the Adkins in the day and actually going back to the Beard and the Boudreaux. We have different manufacturers, different pieces of kit. I would say that all are nonexclusive to us. I mean, somebody asked happily about the Huisman kit earlier, which is the only really equipment that's exclusive to us, and it's doing fine. The equipment that we're having issues with are pieces of kit that are common to our rigs and other rigs in and around the fleet -- in and around not just our fleet, but everybody else's fleet as well. So are we collecting lessons learned? Absolutely. We have regular and frequent transformation of data from both the rigs that are similar within the active fleet and the rigs that maybe have similar bits of equipment within the construction realm as well. So, yes, we are endeavoring at every turn to take any lessons learned that we can and glean whatever we can from that and try to transfer that information throughout the fleet. One of the things that we've been working on vigorously is, over the last few years really, is operational processes. I don't think anybody -- I don't think generally, people appreciate what 14 newbuild projects do to an organization. This is -- it's been a lot of fun and it's exciting. It's not for the faint of heart. But I think, yes, we will learn from these projects. We will get better. I mean, I don't -- if you look at how we've done against other people, I don't know that we've done a lot worse, but we will do better as we go through this process. Interestingly, I talked to the BOP control system issues we were having were on the Scott Marks, which is a jackup. So there are issues that can manifest themselves. We will learn more. Our performance in the second quarter was pretty good. Our performance in the third quarter was dismal. Some because of things that we did, some beyond our control. You frankly don't care. It's up to us to execute better, and we fully expect that we will execute better in the future.
Robin E. Shoemaker - Citigroup Inc, Research Division: Oh, okay. I just wanted to ask one other question. And Roger mentioned that the deepwater terms are now lengthening. We've seen some 5-year. We've seen a few 7- and even 10-year. And it seems that there is, as you would expect, a discount being offered for the longer terms compared to the 5-year. The 7-, 10-year you would expect to be and are being negotiated at somewhat lower margins. But how do you see that trade-off now? It seems going a little bit shorter term and higher rate versus longer term. Or is it simply for you, kind of a portfolio approach?
David W. Williams: I would say for us, we've got some 10-year -- I mean the beauty of a 10-year contract is it's 0 risk. It's out there at 0 risk. What I like about our 10-year contracts is we reprice after 5, so it's a little bit different. I don't know exactly what Transocean's contractual rights and obligations are, but ours, on the Globetrotters, we get to reprice them after 5 years, so I like that feature. The question that you ask yourself when you -- we can price anything. Whether the customer wants the rig for 6 months or 6 years or 10 years, we can price it. And you price it based on your expectation of the market. And Roger and I, we have this debate from time -- or Roger and his troops, and we have this debate sometimes. If you've got an opportunity for a 2-year job or a 5-year job and one's at one rate and the other one reflects a different term, which one do you take? And in this market, you take them both if you can get them both, because a short-term job doesn't really scare me right now. The strength of the deepwater business and with the number of prospects that are going to get developed because of the exploration success, the fact that these discoveries are coming in so many different geographic locations, so many of these countries need the hard currency. They want the hydrocarbons because it delivers hard currency. They're going to want to develop these opportunities. And so when you look at a 2-year term contract versus a 5-year term contract, you take the 5-year contract because you're afraid of repricing or you'd rather have that than reprice the 2-year. I'm not afraid of a 2-year contract. I mean, right now, the strength of the market, I believe, is so strong, and with the capital markets keeping the speculators on the sideline, I just can't tell you how good we feel about the strength of the market going forward. So there has been some discount for longer term. That's kind of the way the market works. But the bad -- the strength of the conversations we're having about the last 2 ships we've got and other opportunities is all -- the dollar is very, very good.
Operator: Your next question will come from the line of Greg Lewis with Crédit Suisse.
Gregory Lewis - Crédit Suisse AG, Research Division: Yes. So I just wanted to go back to Brazil. It seemed like in the last couple of months, there was a private Brazilian rig company that actually walked away from 2 deepwater rig contracts. And I just was sort of wondering, is there any read-through to that -- is there any read-through to that into what's going on in Brazil? And do you guys have any sense, sort of, for others' rigs? Are those being marketed by the yard where those were canceled from?
David W. Williams: Are you -- Greg, are you referring to the locally built projects that did not get sanctioned?
Gregory Lewis - Crédit Suisse AG, Research Division: No, I think there was a rig being built at -- contracted at Hyundai Heavy that was sort of walked away from by a private Brazilian yard?
Roger B. Hunt: Yes. No, I think that was one of the [indiscernible] projects and that I think the shipyard, the Hyundai, the further they got into it, they chose to do something different. And I think that's just an indication of the types of risk associated with these projects. More often than not, you're talking about facilities -- shipyard facilities that actually have to be built to build the drilling rigs, so there's a lot of risk in that. And so that development is not surprising at all.
Operator: Your next question will come from the line of Waqar Syed with Goldman Sachs.
Waqar Syed - Goldman Sachs Group Inc., Research Division: I just want to ask this question. Like, as we look forward to the next 2.5 to 3 years, there are about roughly 90 jackups and about 60 or 70 -- 60 or so floaters coming in, about 150 rigs. From your customer point of view, do you think they have the people and the financial resources to fund the projects and also to be able to execute all these projects to absorb all these new rigs plus all the rigs that are currently working?
Roger B. Hunt: Yes. You had a good question. I deal with the -- each class of rigs. So on the ultra-deepwater rigs, there's -- I think there's 34 being built through 2016 that don't have contracts. If you're asking the question, do we believe that the demand build would be there by our customer base, the answer is yes. On the jackups, however, there's another, I believe, 85 to 89 jackups that will be built, delivered between now and end of the first half of 2015. If you look at recent history, you'd say that probably all of those will be absorbed by the market. But can the market support more than 20% growth overall over the next 3-year period in the jackup sector? It's probably going to be challenged. So what that says is that the lower end of the jackup fleet are the ones -- are the rigs that are going to have the most difficulty. They'll come out of the system.
David W. Williams: I mean, keep in mind, Waqar, if you look at the jackup fleet, probably close to half of the jackup fleet is approaching or at 30 years or over. They don't have an infinite life. They have -- it's a finite life. We don't know what it is. We don't know what it's -- clearly, some are already 35 years and older. But I would argue that retirements will accelerate. You'll see more retirements in the next 10 years than you have in the past 10 years. And that's -- so it's not just an additive exercise. There is going to be some addition and subtraction in the overall fleet.
Waqar Syed - Goldman Sachs Group Inc., Research Division: Okay. So certainly, what's most at risk is the jackup market. But on the floater side as well, from the rigs that are currently working in the industry, how many additional rigs do you see could get stacked in the coming 3 years or so as the newbuilds come in, or just from companies not willing to put in additional capital during 5-year service and other upgrades?
David W. Williams: I don't know about the condition of everybody's fleet. That's a question that through the earnings season, I would encourage you to ask everybody else. We've got one idle semi that could go back to work but I mean, in terms of, is it the same situation on the floater side developing that is on the jackup side, probably. But I don't think that the issues in the floating business are going to be manifested negatively by supply and demand. I mean, I believe that there's going to be -- there is a good bit of work out there. There's a lot more work and a lot more opportunities than there are rigs right now. And from a floating perspective, I think there is going to be a good bit of demand, and good demand build to support the newbuild program.
Jeffrey L. Chastain: Regina, by my watch, we're just past the top of the hour, so we're going to conclude with Waqar's question. Those of you left in the queue, I will be contacting you over the course of the day to address your questions. Thank you for your participation on today's call and your interest in Noble. Make a note, please, that our fourth quarter 2012 results are scheduled for reporting on the 23rd of January, with a call to follow on January 24. We'll conclude -- or confirm those dates as we get closer. I will be available, as I said, over the course of the day to take any follow-up questions. Regina, thank you for coordinating the call, and good day, everyone.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you all for joining, and you may now disconnect.